Operator: Good day, ladies and gentlemen, and welcome to the Square Fourth Quarter 2018 Earnings Conference Call. I would now like to turn the call over to your host, Jason Lee, Head of Investor Relations. Please go ahead.
Jason Lee: Hi, everyone. Thanks for joining our fourth quarter 2018 earnings call. We have Jack and Amrita with us today. First, we want to remind everyone of the format of our earnings call. We have published a shareholder letter on our Investor Relations website, which was available shortly after the market closed. We will begin this call with some short prepared remarks before opening the call directly to your questions. During Q&A, we will take questions from our sellers in addition to questions from conference call participants. We would also like to remind everyone that we will be making forward-looking statements on this call. Actual results could differ materially from those contemplated by our forward-looking statements. Reported results should not be considered as an indication of future performance. Please take a look at our filings with the SEC for a discussion of the factors that could cause our results to differ. Also, note that the forward-looking statements on this call are based on information available to us as of today’s date. We disclaim any obligation to update any forward-looking statements, except as required by law. Also, during this call, we will discuss certain non-GAAP financial measures. Reconciliations to the most directly comparable GAAP financial measures are provided in the shareholder letter on our Investor Relations website. These non-GAAP measures are not intended to be a substitute for our GAAP results. Finally, this call in its entirety is being audio webcast on our Investor Relations website. An audio replay of this call will be available on our website shortly. With that, I’d like to turn it over to Jack.
Jack Dorsey: Hello, everyone. Thanks for joining us. I wanted to start off with a few brief comments, and then turn it over to Amrita for some prepared remarks. First and foremost, I want to welcome Amrita to her first Square earnings call. We’re thrilled to have her as our CFO and really excited about the years ahead. I’m going to start with what we believe our core differentiator is, which is an ecosystem. We are an ecosystem of financial tools for both individuals and sellers, and we continue to prove the power and the uniqueness of that as time goes on. One of the things I’m most proud of over the past 10 years, Square turned 10 back in – back a few weeks ago is that we’ve shown a lot of discipline in long-term investments, and these longer-term investments that we made some bets on have really paid off. A really good example of this has been the Cash App. Today, we’re announcing that we have over 15 million monthly active customers in December of 2018, and that’s more than double year-over-year. This is an amazing to start building – this is amazing to start building an ecosystem focused on financial services for individuals, but it also speaks to the power of building ecosystems, so that we can build seller products faster as well. All the tech that we’ve built for the Cash App powers other product ecosystems as well. So Instant Deposit came from Cash App technology as did the Square Card. The Square Card has been another highlight over the past three months. This is a way for us to continue to serve underserved and unbanked sellers, so that they can start a business without even going to a bank, literally be able to download the Register from the App Store or Google Play. And we give them an account, where they can store their money and also a MasterCard debit card, which they can use anywhere to grow their business. We are a really good seller. Example here, C.C. Nedrow of Payton’s Photography. She used Square since its earliest days. She’s also been using Square Card to buy supplies as soon as she needs them, and she also uses Square Invoices, Square Marketing, and Square Capital, and this really speaks to the power of the ecosystem. People can come for one thing and then see a whole host of other financial services to help them stay in business and also grow their business. The most important thing about Square Card, though, is it enables them to quickly invest in their business, and it gives them access to their funds immediately, so they can go off and do the right things for their business whether it be buy more marketing or buy a new salon chair to add more capacity to their offering. One of the things we’ve found with our beta sellers for Square Card is that 40% of them didn’t have a business debit card before, and this is meaningful, because we found that a lot of sellers were mixing their personal bank accounts with what their business was doing, which is very, very hard to manage, took time away from their work and ultimately took time away from making more sales. So we believe this is going to be really powerful for sellers and it really speaks to longer-term investments that we’ve made, the bets we’ve made, and how they’re paying off right now. For the year ahead, we continue to focus on three things. We’re going to continue to strengthen our omni-channel offering. That means that we add strength to in-person payments, to mobile payments, and also to online. We’re really excited about everything we’re doing in financial services. This captures everything from Cash App to Square Card to Payroll to Square Capital. And finally, we’re – we continue to focus on the international markets that we’re in, making them stronger, more complete, and making sure that we find product market fit for the majority of our ecosystem. We’re excited to continue to roll out more of our ecosystem tools and services to all of our markets. And with that, I’ll turn it over to Amrita.
Amrita Ahuja: Thank you, Jack. I wanted to start by saying that I’m thrilled to be a part of Square. I joined, because I’m passionate about Square’s purpose of economic empowerment. There’s massive opportunity ahead for us and Square’s teams are moving with urgency, operational excellence, and creative agility to serve our customers. It’s rare and meaningful to find such a strong alignment of doing good and doing well, and I’m excited to be a part of Square’s journey. Our results for fourth quarter and full-year 2018 highlight the momentum in our business. In the fourth quarter of 2018, we drove strong revenue growth at scale. Total net revenue was $933 million, up 51% year-over-year overall and up 47%, excluding acquisitions. Adjusted revenue was $464 million, up 64% year-over-year overall and up 53%, excluding acquisitions. Net loss was $28 million in the fourth quarter, which includes the mark-to-market valuation of our strategic investment in Eventbrite. Excluding this impact, net loss was $12 million. Adjusted EBITDA was $81 million in the fourth quarter, up 97% year-over-year. Our ecosystems for sellers and for individuals drove growth in the quarter. On the seller side, we maintained strong cohort economics, with a three to four quarter payback period for new cohorts and positive adjusted revenue retention for existing cohorts. This underscores the continued efficacy of our go-to-market strategy as our business scales, both in acquiring new sellers efficiently and helping them grow once they join Square. Additionally, we drove momentum with larger sellers. In the fourth quarter, larger sellers made up 51% of overall GPV, up from 47% in the fourth quarter of 2017. GPV from this group grew 39% year-over-year. One reason larger sellers come to Square is for our omni-channel solutions, as 30% of our larger sellers serve their customers via more than one channel on Square. For individuals, we drove rapid growth at scale for Cash App. As Jack mentioned, we had more than 15 million monthly active Cash App customers in December 2018, which more than doubled year-over-year. We’ve been delivering growth at scale and operating leverage in our business, which enables us to reinvest and drive product velocity , which in turn can generate meaningful revenue in the long-term. Products launched in the last five years represented 37% of total net revenue and 51% of adjusted revenue in the fourth quarter, up 15 points from a year ago. Now turning to guidance. For full-year 2019, we expect total net revenue to be within a range of $4.35 billion to $4.41 billion and adjusted revenue to be in the range of $2.22 billion to $2.25 billion. At the midpoint, this represents 41% year-over-year adjusted revenue growth, which is remarkable given our scale. For full-year 2019, we expect adjusted EBITDA of $405 million to $415 million, which represents growth of 60% at the midpoint. Given the massive opportunity ahead of us, we continue to reinvest in the business to drive long-term growth, guided by financial discipline. We’re excited to expand our seller and consumer ecosystems to provide more people with more tools to participate in the economy. I’ll now turn it back to the operator to start the Q&A portion of the call.
Operator: [Operator Instructions] Your first question comes from the line of from Darrin Peller from Wolfe Research. Your line is open.
Darrin Peller: Thanks, guys. Nice job on the quarter and look to working – look forward to working with you, Amrita. Let me just start off, guys. I mean, subscription and services growth continues to be obviously extremely strong and Cash App seems to be just a very big part of that. The numbers you gave were really helpful. If you could just give us more insight into the driving forces behind the growth in Cash App numbers and how sustainable it is? And then, maybe a better breakdown on the revenue sizes of each aspect to that, correlated to the Cash App. And then, maybe if you can even give what percentage of Cash App users are monetized so far just at least to help us. Thanks, again, guys.
Amrita Ahuja: Hi, Darrin, I look forward to working with you as well. So let me start by sharing a little bit about the strength of the business model for Cash App, and then I’ll share a little bit about the monetization as well. So we’re very pleased with the progress that we’ve seen with Cash App. We are driving meaningful revenue contribution, along with network growth and network engagement, and that is driven by the strength of the business model we see there, and just to underscore some of those points, where we see a massive opportunity ahead of us to enable access to financial services. There are over 25% of U.S. households are unbanked or underbanked, and clearly, as a top 20 app in 2018, Cash App is now achieving mainstream scale. In terms of the dynamics underlying the business, we see really strong network effects, which when you combine that with frictionless onboarding, which the team has been very focused on, drives efficient acquisition at scale. And then we’re also seeing really strong engagement with Cash App, which we measure by transactions per active, which is also increasing – increase the compound effect when coupled with the increasing reach of the overall app. We’re continuing to drive daily utility for that engagement through new features like card boosts and direct deposit. And this team is just executing very well at a high-level right now. We’re delivering new and refined products with quality and speed. The speed with which we can deliver, given the mobile platform is obviously greater than what you see with traditional financial services experience. And it’s that rapid iteration, which drives, not only product velocity, but scale and daily utility. So that’s just a little bit about why we’re excited about the underlying trends and momentum that we see with the business model for Cash App. From a monetization perspective, there are a number of revenue streams and a variety of levers that we have in the business, and we’ve really just gotten started. There’s four to highlight today, obviously, Instant Deposit, which is similar to our -- Instant Deposit product in our sellers’ business enables instant access to stored balances. There is Cash Card, which the last number that we had mentioned was $3 billion of annualized spending as of the second quarter and which continues to grow rapidly, where we make interchange. There’s P2P when funded with credit cards, and then there’s cryptocurrency, where we make a spread. And again, we’re just at the beginning of this opportunity. There’ll be future products and services and opportunities to build engagement, which we can eventually monetize for the future.
Darrin Peller: [Multiple Speakers]
Jack Dorsey: The only thing I would add there…
Darrin Peller: Go ahead.
Jack Dorsey: Sorry, Darrin. The only thing I would add there is, we’re starting to see the network effects play out. So the P2P aspect – and I think the biggest driver of growth for us is the product itself has inherent network effects. And you can see this yourself on Fridays of weeks inside the United States, where we do see huge surge in downloads because of payday, and people are utilizing the money they have in Cash App to some of their friends, families, landlords causing another download and another up into the network. So that has kept us in the top 20 at the App Store for quite sometime. We reached number one, not too long ago this year. But I think, the biggest driver is really going to be how the network is spreading and just the inherent network effects that it has in the business. And as we add more utility and more financial services, such as the card or sort of balance or Instant Deposit, ATM, it just becomes a much, much more durable relationship.
Darrin Peller: Yes. Just quickly, I mean, do you guys ever disclose about what percentage of the 15 million users have actually been monetized in some way? Just trying to figure out how much runway? It seems like it’s very early obviously. Thanks, again, guys.
Jack Dorsey: Yes. We haven’t disclosed that. But as Amrita said, over those four areas into Deposit, Cash Card, P2P, and cryptocurrency, we have – we just have a ton of levers to pull on in terms of where the app takes revenue.
Operator: Your next question comes from the line of Bryan Keane of Deutsche Bank. Your line is open.
Bryan Keane: Hi, guys, congrats on the quarter. I wanted to ask about Square Card for business. Can you just talk a little bit about how it differentiates itself from the competition and how you plan to drive more small business engagement there? And then secondly, just looking at the guidance, I know seasonality plays a role. But it looks like the first quarter EBITDA margin guidance at the midpoint is somewhere around 10.3%, that would be down from 11.7% a year ago. So just trying to figure out is there extra investments going in that’s driving margins down a little bit year-over-year? Thanks so much.
Jack Dorsey: Yes. Thanks for the question, Bryan. Square Card is one of the things I’m most excited about this year just because we’ve identified a real pain point in a seller’s life and in sign up for Square. We – one of the things we ask for traditionally is to link a bank account. So that you can receive your funds after you swipe your customer’s credit cards. And now you can literally download the register and download our app and now we offer a place to store your money. But more importantly, we give you an opportunity to get a card that you can customize, that’s a Master card, which you can use anywhere. And we think this is pretty powerful in the same way that Instant Deposit was, because it gives access to funds. And access to funds is so critical for any small business, if they can quickly access their money and spend it to grow their business in whatever situation they find themselves in, we tend to see their sales increase. So we think this is – well, I don’t know of anyone else offering anything like this, especially with the breadth of our ecosystem. So I think it’s inherently unique, inherently differentiated, and I can’t think about simpler sign up flow to get a card, that’s customized your business, but also is a simple way to start. So you can start a business without even having to go to a bank, which is pretty powerful, pretty profound and really cool. And we don’t think this is just for small businesses. We think this can scale and we’re really excited about adding more functionality on top of the card.
Amrita Ahuja: Hey, Bryan, it’s Amrita. I’ll take the guidance question for Q1. I want to emphasize two things. First and foremost that we focus on the full-year in terms of how we manage the business and in terms of how you should be looking at it from a guidance perspective. And secondly, that there is some seasonality in Q1, which is why we really focus on the full-year. So, again, just to grant you the numbers for the full-year, we expect to grow over 40% on the top line and 60% on the bottom line, delivering similar margin expansion to what we delivered in 2018, which at 2.2 – over $2.2 billion of revenue is pretty remarkable growth at our scale. From a Q1 perspective, we’re showing 55% adjusted revenue growth year-over-year. But it is important to note that there are some seasonal trends in the business that particularly effect our seller business, which impacts sequential growth and revenue profit and profitability. So from a revenue perspective, we see a seasonally slower quarter in Q1 relative to the Q4 holiday season, which again impacts profitability. And these seasonal trends, Bryan have been in the business for each of the last three years, if you look back. Also from a timing perspective, we are making deliberate investments in our business earlier in the year, beginning in Q1, which we expect to drive growth for the medium to long-term.
Bryan Keane: Okay, very helpful. Thanks so much, guys.
Jack Dorsey: Thank you.
Operator: Your next question comes from the line of Tien-tsin Huang of JPMorgan. Your line is open.
Tien-tsin Huang: Thank you, and welcome to the call, Amrita. Just, Jack, I wanted to get your perspective on some things. I know you just said you’re excited about Cash Cards, but looking back to last year, Instant Deposit really carried the load and it’s a surprise to the upside in 2018. So looking at this year, what products do you think are best positioned to drive our lead growth in 2019? In other words, what’s this year’s Instant Deposit?
Jack Dorsey: Yes. I think, – so a few things here. One, I’m really proud of how far Cash Card has come. Those are significant bet for the company. We’re going against major incumbents. We – it did require a lot of thoughtfulness, a lot of push on our side and a lot of patience as well, and we continue to see every single day that proving out. But the most important thing is, it allows us to move superfast with other products like Square Card. And we’re not like lollygagging around and just, like being saw development anymore, because we can move fast, because we have all of this infrastructure at our disposal that allows us to build something like square card in a very short timeframe, when considering our past 10 years. So I think the thing I’m – apart from Square Card and just everything that we can place on top of it and reach the seller community in the same way that we’re reaching individuals with Cash App is. I think, people are finally starting to see the power of our ecosystem, and they’re not just seeing us as separate parts and separate tools, but the entire ecosystem. So I think the biggest driver is as we make more of those connections and more of those integrations, people will see it as one unit. And that’s – that starts with our customers, but certainly our shareholders, our investors and folks in the industry, we don’t have a lot of competition in that regard. I think, we’re fairly unique in the ecosystem way. And this ecosystem mindset is not just around our services, but it’s also around our developer platform as well. So as a developer coming to our platform, you get your access online, you get your access in-app and you get your access hardware, all in one place. And as we continue to improve that experience, we just provide a much more powerful option, not only for developers and their small business customers, but their larger merchant customers as well. One of the real strengths of the developer ecosystem for us has been an ability for a larger seller to take the parts of our ecosystem that they want custom fit into their shops or their restaurants, connected with legacy systems that they may have. So it’s not disruptive to their business and continue to carry on without missing a beat. So we think it’s a really powerful equation and you’ll see us continue to add to the ecosystem equation to continue to strengthen that as a unit rather than just like the individual parts. So that gets mesuper excited this year.
Tien-tsin Huang: Thanks then.
Amrita Ahuja: Tien-tsin, thank you so much for the – welcome. Maybe I’ll underscore a couple of the points that Jack made with few of the things that get us excited about the momentum we have carrying us from a very strong 2018 into 2019, and some of the focus areas for us in 2019. As we’ve said, we’re coming into 2019 from a position of strength, exiting 2018 with 61% growth and $1.6 billion of adjusted revenue. And that growth at scale was driven by a diversity of growth levers. We had positive revenue retention and a consistent three to four quarter payback period for new sellers. We saw new cohorts of sellers, driving higher levels of adjusted revenue and an increasing mix of larger sellers. And then as you’ve heard, we have tremendous scale in our Cash App ecosystem now at over 15 million monthly actives up 2x year-over-year. We’re seeing growth from Instant Deposit, but we’re also seeing meaningful growth from Cash Card and we see a future opportunity to continue building out that Cash App ecosystem driving further engagement. So 2019 just quickly to take off some of the key focus areas for us to drive that over 40% of adjusted revenue growth over $2.2 billion. We’re going to take a long-term approach, as we always have to our strategic priorities. So 2019 will be a continuation of that. We will be focused on launching and scaling new products as ever. So some of the things you might see investing in our seller ecosystem with vertical service – vertical specific offerings, restaurants, retail services continuing to scale our recent launches, including the expansion of the developer platform, Square Card and Terminal, where we’re seeing strong early traction on both. And all of those products are really going to help enable us to reach new customers and new segments, while increasing engagement across the ecosystem.
Tien-tsin Huang: Good stuff. Thank you, both.
Jack Dorsey: Thank you.
Operator: Your next question comes from the line of [Quest Skinner]. Your line is open.
Unidentified Analyst: Hello. How are you guys? Very amazing to hear all of this. I’ve been with Square for over years now, and I have a Square Card and Cash App. But one thing I can say is, I know it’s made easy for me to quickly buy my supplies, my materials. But what other services would you guys be planning to offer that would allow me to transition from my traditional banking system completely over to this new infrastructure in which you’re designing?
Jack Dorsey: Yes, thank you, Quest, and thanks for letting us feature you during the Square Card launch and also on the earnings letter.
Amrita Ahuja: Thank you.
Jack Dorsey: So we’re – the way we think about the developing forward is looking at the most critical pain points that our sellers and our customers experience, and then figuring out very, very simple accessible ways to solve some of those issues. And we do have a breadth of services that were excited about in that regard everything from payroll to Square Capital that you can imagine, handling more and more of the needs that you might have from a traditional banking partner that we could save your trip to. So we’re – with a Square Card, we’re going to learn super fast and make sure that we’re identifying areas where we could be helpful. One of the things I’m proud to serve in the Square Card as we decided to like really recognize and honor the seller community that naturally builds. So one of the things we did is anytime you use your Square Card at another Square Seller, that seller doesn’t pay the fee. So we handle that 2.75%, and we think that’s awesome as a way to give back to our sellers. But things like that where we can really solve critical needs for folks is where you’re going to see more of. We’re open to ideas as well, so keep them coming.?
Unidentified Analyst: Oh, for sure, I’ve got a few. Thank you, guys.
Jack Dorsey: Thank you, Quest. I appreciate it.
Unidentified Analyst: Bye. Have a good evening.
Jack Dorsey: I appreciate it.
Amrita Ahuja: Thank you.
Unidentified Analyst: I appreciate you, guys. Bye.
Jack Dorsey: I appreciate you.
Operator: Your next question comes from the line of Dan Perlin of RBC. Your line is open.
Dan Perlin: Thanks. Good evening. I have a question. If you could give us some sense around the interchange economics for Square Card versus Cash Card? And then secondarily, I’m wondering, are you seeing users on the Cash Card side, where previously they were Instant Deposit users kind of converting over to being Cash Card users, with the idea that you’re going to porting the cost burden to the merchant in this interchange model versus charging the consumer for instance deposit? Thanks.
Amrita Ahuja: Hey, Dan, thanks for the question. So in the first part of your question with regard to interchange economics, of course, is a business prepaid debit card, where Square makes money is on the interchange on the purchases. The interchange is publicly available through Master Card spread tables. What we’re really focused on is driving greater utility, which leads to hiring engagement and ultimately drives higher customer lifetime value. That’s a similar approach to what we took with Cash Card similar with Square Card.
Jack Dorsey: I’m sorry, Dan. Could you just repeat the second part of your question? I didn’t fully understand it?
Dan Perlin: Sure, sure. So you’ve historically had Instant Deposit, which is something you would charge the consumer for. But you can move those funds to your Cash Card, so that you can utilize those anywhere Master Card is accepted, which is great. The question is this Instant Deposit a long-term viable business model. And if it, let’s just say, hit the maturation curve is Cash Card, the way in which to move that consumer over. So that they’re no longer being charged. They are basically – you’re basically taking the economics and pushing that onto the merchant? Does that makes sense?
Jack Dorsey: Got it. Yes, that makes sense. So just to clarify some things. We – so you can store money within the Cash App. And if you want to move it to your bank account, that’s where Instant Deposit takes place. So we charge 1.5% to instantly move at your bank account, otherwise you wait two, three days for it to transfer. We have seen – we do have the Cash Card, which allows instant spend and we do have economics from that as well. We generally want to be agnostic, but we believe that keeping people within the Cash App and that ecosystem is generally positive first for the customers and also for us because of the other financial services that we’re going to continue to look at and add and utility that we’re going to add to the card. So a lot of it has to do with just making sure that we’re providing something that is – that has daily utility to folks from peer-to-peer to the card. But if they want to go to their traditional banking instrument, they can do that. And they can do that for free with a delay or they can do it instantly with Instant Deposit. So we see these things as complementary and we’re even more confident in that, because we – right now, we have four areas, where we monetize the Cash App as well. So it provides enough diversification that we have for resilience.
Dan Perlin: Great. Thank you very much.
Jack Dorsey: Thank you.
Operator: Your next question comes from the line of Steven Kwok of KBW. Your line is open.
Steven Kwok: Great. Thanks for taking my questions. I guess, the first question I have is just around the momentum of moving upmarket into large sellers. Can you just talk about how that’s going? It seems like the GPV is currently about 50% of – from live sellers as of right now. What do you expect that to go over the next couple of years? What’s the opportunity you’re seeing? Thanks.
Jack Dorsey: Yes. I’ll take the first part of your question and then pass it over to Amrita for comments as well. But generally, we’re pretty excited about what we’re seeing with larger sellers. A big factor in this is our developer platform, making sure that larger businesses have access to our full speed of tools in the ecosystem and can custom fit it to their needs. So if they just want to use a hardware, they can just use a hardware and then can integrate it to their own systems, whether it would be newer systems or legacy systems. We’re also pretty excited about the size of merchants that are utilizing our various services. So a Square Terminal seller, for instance, is annualized GPV is around 190k, registered seller is about 300k. Restaurant sellers, 650,00, so we’re reaching some larger folks. One good example of this and for all of you New Yorkers is Joe & The Juice. They use Square in over 50 of their stores and they have a custom point of sale that was developed specifically for their business. They used our SDKs to make it work and to make it look good and to make it something that they don’t have to worry about. So we’re reaching folks at scale, because our products scale from the smallest of sellers all the way up to the largest. And that’s really been our thesis is that, we want to build a system that enables a seller to grow and they never have to outgrow us and we want to support them along every path of that journey and that’s how we think about the broader roadmap.
Amrita Ahuja: Hey, Steven, just to add to what Jack said, we do see ongoing momentum with larger sellers in the fourth quarter 51% of our GPV came from larger sellers. That GPV is up 39% year-over-year. And really, it’s driven by the products that we offer that continue to serve larger sellers. And as Jack was saying, that cohesive ecosystem model that really focuses on omni-channel capabilities, because we can provide that all in one solution to manage the complexities of managed payments, multiple locations, employees and tracking many customers, that’s what’s really going to drive this growth. And just to give you a couple data points around that. For omni-channel, 30% of our larger sellers sell through multiple channels with Square. And with that seamless integration that we can provide over 50% of larger sellers use two or more products and that’s obviously something that we can continue to grow. Finally, self onboarding. Because of the friction with onboarding, we can offer over 80% of our larger sellers self onboard. So we’re going to continue to make progress there.
Steven Kwok: Great, thanks. And I have a quick follow-up just around the banking license. I know you guys recently reapplied for one. Can you just talk about the timeline around it? And thanks, and welcome aboard, Amrita.
Jack Dorsey: Thank you, Steven. We don’t have any updates on the timeline. We’re working closely with the FDIC right now and Utah DFI, as they review our applications, and we’ll give you updates as soon as we have them
Steven Kwok: Thanks, Steven.
Steven Kwok: Great. Thanks for taking my questions.
Operator: Your next question comes from the line of Jason Kupferberg of Bank of America. Your line is open.
Jason Kupferberg: Hey, great. Thanks, guys, and welcome Amrita. Maybe just to start with a margin question for you. I wanted to get some perspective. Just as we think conceptually beyond 2019, as you mentioned this year, we should see a similar amount of EBITDA margin expansion in the business as we did last year. What’s your view kind of more medium to long-term? I mean, is this the right zip code, 200, 250 basis points a year? Do you think there can be some acceleration in the rate of operating leverage as we look out further? And then maybe just kind of unrelated, maybe this one is more for Jack, but just wanted to get a quick update on the non-U.S. markets, latest trends there and any plans to add more countries in 2019? Thanks.
Amrita Ahuja: Hey, Jason, thanks. So with respect to your question on long-term margin expansion, we’re being very deliberate and purposeful in how we reinvest for growth and as ever continuing the financial discipline that Square has shown over the years. We’ve talked about a long-term margin goal of 35% to 40% at Investor Day and we continue to see strong underlying drivers and momentum in our business. We have a massive opportunity in front of us to invest across our top three focus areas that you heard: omni-channel, financial Services and international, and we’re driving real results with margin expansion for each of the last five years, OpEx leverage of over 5 points in 2018. So as we head into 2019, we’re going to continue to see margin expansion. And if we can continue to execute against our roadmap for delivering new products that scale, we will continue to see growth that can lead to margin expansion and operating leverage that can lead to margin expansion. And finally, I’ll just say, we have confidence in our overall business model, positive dollar-based retention, continued payback period of three to four quarters, multiple monetization levers across sellers and individuals and an ability to flex levers across variable costs, whether that be sales and marketing or support. All of those things will – we believe continue to drive growth for us over the long-term in terms of margins.
Jack Dorsey: We have – Jason, so we have no immediate plans for new markets, mainly because the markets that we’re in are some of the biggest markets in the world and we see so much more opportunity to really strengthen them. One, in particular, for instance, is Japan. With everything happening around the Tokyo 2020 Olympics, the market – and with the government pushing for more electronic payment adoption, we think that’s going to be a significant focus for us and something that we can see a lot of benefit from. But I will remind everyone that one of the interesting things about the acquisition of Weebly was how global they were and how much insight that gave us into where we can make new moves and how we might open entirely new markets or just might deploy parts of the ecosystem that we would be able to move much faster than our in-person credit card terminals. So we’re looking – we’re certainly learning as fast as we can and we’re taking all the information and prioritizing. But we believe there’s so much opportunity in the markets that we’re in that we’re going to continue to double down on them.
Jason Kupferberg: Okay. Thanks for the comments, guys.
Jack Dorsey: Thank you.
Operator: Your next question comes from the line of Pete Christiansen of Citi. Your line is open.
Peter Christiansen: Thank you, and welcome, Amrita. Jack, I appreciate your comments on the power of the ecosystem. And I guess, if you look at a lot of your competitors out there, particularly these converged payment type of offerings that somewhat look like a Square. I mean, some pundits believe that there’s less stickiness in this type of solution, that it’s easy to switch from one seller solution to another. And now you’re starting to see increasing usage of interchange plus pricing. Do you view that as a threat? And how does Square think about competing against more competitive pricing and similar competing products?
Jack Dorsey: Yes. Thanks for the question, Pete. We – so we’ve seen this before and we’ve definitely seen much larger competitors come into our space with much more aggressive pricing than we were offering. And we did see a short-term kind of interest in what they’re doing and maybe some customers switching over. But after months, we saw those same customers switch back. And the reason why is the quality of our software, the simplicity, the pairing with our hardware and the broader ecosystem. I think the – I believe the ecosystem is extremely sticky, because it builds durable relationships. If we’re just offering and we’re just focused on providing payments in the Register, certainly, there are so many other competitors out there. But when people come in for payments in the Register and then they use payroll or their restaurant and they use Caviar or these are marketing and really getting offers from Square Capital. It’s really hard to find that mix anywhere else and that builds durability. So even if we see a decline in one particular part of the service, we still have a strong relationship with the rest of the services. So unlike a lot of our single focus competitors, a customer can fire them and it fires the entire company, whereas they may fire one of – one part of our ecosystem, but still use three other things. So we think that adds a ton of resiliency, a ton of durability of the relationship, but it’s all a function of how well we continue to strengthen this and that’s our focus. Like, we know we’re building an ecosystem. We know that this is our core differentiator above all else and we benefit, not only from external customers, but internal customers, too, with our speed of development.
Peter Christiansen: That’s helpful commentary. And then I’d like to just follow-up on any developments with the new installments product. We get questions a lot about what is the – what percentage of volume is Square’s high-ticket it volume? And I realized an installment product would actually increase that over time. But would be helpful to see where we are in that development roadmap?
Jack Dorsey: Yes. We’re still pretty early on it, so we’re still testing a lot. We’re excited about it, because it does give – we launched it as – it looks like a customer benefit, but – and it is, but it’s really a seller tool, and the more they can offer their customers to enable them to be ready to purchase what they intend to purchase the more sales a seller makes. So we think that is – we think that’s pretty critical and something that we want to continue to strengthen. But there’s a ton for us to learn right now, and we’re still playing with a bunch of the variables to make sure that we get it right. So that, our sellers, customers see it and they see the utility and signing up for it and that they’re really pushing on it.
Amrita Ahuja: And Pete, just to add, in the third quarter – just going to add to that. In the third quarter, we saw $10 million transactions or installments on Square that were greater than $250.
Peter Christiansen: Thank you and welcome.
Amrita Ahuja: Thank you.
Operator: [Operator Instructions] Your next question comes from the line of James Schneider of Goldman Sachs. Your line is open.
James Schneider: Thank you. Good afternoon and welcome, Amrita. I was wondering if you could maybe just pick up and provide a little more commentary on the long-term margin expansion outlook you provided earlier. Maybe tell us how you’re thinking about in the medium-term, obviously, it sounds like you want to invest to develop the biggest possible franchise, the revenue scale that the company can possibly get to. But how should we think about the balance of margin expansion? Specifically, are you solving for EBITDA growth, or are you solving for the largest potential revenue base and revenue working TAM? Thank you.
Amrita Ahuja: Hey. James, thanks for the question. So what we’re focused on is driving growth on the top line and absolute dollar growth on the bottom line. Just to speak more a little bit about the track record that we have developed here around financial discipline, we’ve delivered margin expansion in each of the last five years. In 2018, at $257 million in EBITDA, up 85% year-over-year with 16% margins that was 5 points of OpEx leverage and 2 points of EBITDA margin growth/ And again, the track record of the things – the types of things that we’re investing in are driving results. We’re launching new products and we’re scaling new products. And those results have been remarkable in the last few years. I think, it’s important and worth underscoring, so that you understand how we think about this for the long-term reinvestment profile for the business. Our new products launched in the last five years now account for 51% of adjusted revenue. That’s 15 points higher than where it was a year ago. We’ve built out an entirely new ecosystem with Cash App in the last few years, it’s now 15 million monthly active. That’s purposeful investment over a period of time that’s gotten us to this point now where we can scale and reach mainstream status. And we deliver – we did all this, while also delivering, not only top line growth, but margin expansion in the business. So as we think about the long-term here, that’s what our focus is, continuing to put out great products and scaling them over time. And that ultimately will lead to absolute dollar growth.
James Schneider: Thank you. And then maybe one for Jack. Could you maybe provide us any kind of updated metrics in terms of the traction your vertical specific software solutions are getting in terms of penetration of sellers, whether that be Square for Restaurants or Appointments, et cetera?
Jack Dorsey: Yes. So we – Square for Restaurants is definitely the bright star here. We learned a lot from that launch, mainly because we’ve really focused on getting as much feed book – feedback as we could from restaurants themselves. We had a bunch of workshops with restaurant owners and staff to make sure that we’re getting the flow exactly right. And it’s a great launch, but it is just a start. We serve a very particular type of restaurant. We don’t serve all restaurant types right now, and we continue to learn how we can build the software. So that we can attract a larger and larger restaurant sellers as well and continue to look for ways to integrate Caviar. We – in terms of retail, we had to do a bit of a reboot on just how we think about retail. We saw a lot of issues with the original interface and just have been rethinking a lot of that to make sure that we’re solving retailers’ needs and we’ve been applying the same things that we learned from restaurants into the retail space and appointments continues continues to thrive. We want to make sure that we’re available on all platforms that we’re accessible to everyone who wants to use the app and then there’s deeper integration with the ecosystem as well. So generally, quite positive and they’re all really great starts. The one thing that I would point to in a metric standpoint for Restaurants, in particular, is that over 60% of our Square for Restaurants sellers self onboarding. That’s exactly what we want throughout all of the verticals. We want to push as much as possible to self onboard. It’s easier for our sellers obviously much easier for us and then it speaks to the simplicity and elegance of our interface. So we have a very high bar set right now and we’re going to be applying across the other two verticals as well.
James Schneider: Thank you.
Jack Dorsey: Thank you.
Operator: Your next question comes from the line of Tom McCrohan from Mizuho. Your line is open.
Thomas McCrohan: Hi, thanks, and welcome, Amrita to the team. I had a question on the Cash Card. Is there any metrics you can provide around the average balance that people are keeping in their Cash App? And maybe any trends there as they’re growing? And relatedly, is there any update on the Boost program and how that reward program might evolve over time?
Jack Dorsey: Yes. So we’re not disclosing the average balance that folks keep, but I will give you some other points. Like we are – so we are seeing mainstream adoption. we are seeing appeal with people aged 18 to 34. And that – one interesting thing we’re seeing is that, we’re seeing a lot more increased engagement through higher average transactions per customer and we’re increasingly seeing people using the Cash App as their primary spending tool. And this is really interesting, because we do see people who are using the Cash App as their way to transact. And it starts with friends and family and moves onto the Square Card to the merchants that they go to all the time, where we have a direct deposit functionality where people can actually deposit their payroll right into it as well. So we continue to add features that make us a first consideration, and in many cases, the primary tool as well. So we’re going to continue to build that out and strengthen even more.
Thomas McCrohan: Excellent. And if I can have a quick follow-up on product development expenses and kind of trends there. You spent about 31% of revenue – adjusted revenue on product development and entered the year with 35% or so guidance for revenue growth, end of the year 53%, largely due to the returns you’ve got on the incremental product development expenses. And I just want to understand how you’re thinking about the return on those dollars spent? So you had pretty – on an absolute dollar basis, you had about $600 million of incremental adjusted revenue this year, largely because you spend money creating products that people want. And it seems like the guidance implies you can have an additional incremental $600 million of revenues next year and this year in 2019 for maintaining similar levels of product development. So I just want to make sure you’re thinking about that way in terms of getting the return on each incremental dollar spent on product development, you’re seeing the same returns looking forward, as you did in the past?
Jack Dorsey: Sorry, and before we get into that, I forgot your question on boost. We’re pretty excited about this program. We continue to add new merchants to it. We’re not aware of any other debit card program that enables instant cash back at favored merchants, and we think there’s a lot of potential, both for consumers and also our seller partners on it.
Amrita Ahuja: And then, Tom, thanks for your question on product development. I urge you to look back at our track record here in the products that we’ve developed and scaled over the past five years, again, products over the last five years now accounting for 51% of adjusted revenue, up 15 points year-over-year, an entirely new cash ecosystem. Where we’re going to continue to lean in from an investment perspective with product development is in driving velocity around launching and scaling new features. Top priorities, obviously omni-channel, verticals, developer, platform, Weebly, eCommerce integration. From a financial services perspective, it’s continued growth on Cash App and Square Card and then obviously international will continue to scale as well. So, again, strong track record and will continue to execute against the long-term strategic priorities.
Thomas McCrohan: Thank you.
Operator: Your next question comes from the line of Chris Brendler of Buckingham. Your line is open.
Chris Brendler: Hi, thanks so much for taking my question and welcome, Amrita, as well. I’d like to ask about the growth in volume this quarter. It accelerated slightly sort of in line with estimates. But if I look at the mix by sellers, continued slowdown in the micro seller, the actual sequential acceleration in mid and large sellers picked up a little bit. So I was wondering if there’s anything macro that you’re seeing at that level in the micro sellers, or just the business is shifting away from micro, and that’s why you’re seeing a little bit slower growth there? Thanks.
Amrita Ahuja: Hey, Chris, thanks for the question. So yes, growth and volume, I’m assuming you’re talking about GPV there. We drove strong GPV growth at scale, up 28% in the quarter, up 30% year-over-year going from $65 billion in 2017 to $85 billion. We’re focused on serving all of our sellers. And many of the things that we’re doing in terms of products and services to serve larger sellers also matter for micro sellers and we’re very focused on that community as well. I wouldn’t read too much into the specific mix of micro there, because there’s a lot of different ways that we can grow with micro. And some of the ways actually help the business grow and push them into the larger seller category. So there’s a little bit of mix going on and sellers moving between categories. And also when we think about serving the micro channel, we’re micro sellers. We’re focused on, not only onboarding, but also growing with them, adding new products and services to the suite across that ecosystem, and 40% of our larger sellers started as micro. So if we can help them grow their business, we view that as success.
Chris Brendler: That’s great. Thanks so much. And my follow-up would be the disclosure you have on Page 5 with the 30% omni-channel sellers sort of a very impressive number, and there’s a comment there is that 10% of your volume is coming from Virtual Terminal Invoices and eCommerce. Can you give us a sense of how much that is growing? I think there was a comment at one point a third of your volume potentially was card not present. So I just reconcile that 10% with the third being card not present from moving [indiscernible]? Thanks.
Amrita Ahuja: Sorry, Chris, can you clarify the question?
Chris Brendler: Yes. Just the – so the Virtual Terminal Invoices of eCommerce on Page 5 contributed 10 – more than 10% of Square’s GPV in the quarter. That’s a nice number to have. I also thought there was a prior comment that a third of your volume was card not present. So if it’s card not present, where does it go besides those Invoices and Virtual Terminal eCommerce API? I’m trying to get a sense of your eCommerce mix?
Amrita Ahuja: Sure. This is an area that we continue to be focused on. I’m not sure I’d necessarily correlate those two different metrics together, but 10% volume though across Invoices, Virtual Terminal, eCommerce contributed more than 10% of our GPV in the fourth quarter and it is growing meaningfully over time.
Chris Brendler: Okay. Actually, I was reading it wrong. It says more than 10% contribution in growth. Okay. And then any comment on eCommerce in terms of like the mix and health of your overall business?
Jack Dorsey: We’re – we acquired Weebly to strengthen us. And just an update on the integration, we’ve been working hard to make sure that we’re introducing Square sellers to the concept of Weebly and vice versa, focus a lot of the every day efforts on eCommerce and thinking about just the right opportunities to brand and to make sure that people see these as one thing, and that’s going to be our focus for the next few months.
Chris Brendler: Great. Thanks so much, guys.
Jack Dorsey: Thank you.
Amrita Ahuja: Thank, Chris.
Operator: Your final question comes from the line of James Faucette of Morgan Stanley. Your line is open.
James Faucette: Thank you very much and saying my thanks to you, Amrita, for internalizing so much of Square so quickly, it must been a lot of hard work in the last month or so. I wanted to ask a couple of quick questions. First on Square Capital, that came in a bit better than we had thought. And historically, we thought that there would be a bit more seasonality in that part of the business, but the originations were up sequentially. So can you talk a little bit about what’s happening with who you’re extending credit to and under what circumstances? And if anything around the economics of that business have changed in the last year or so? And then I did want to follow-up on the ILC question. I know that you don’t have an update on timing. But Jack, have you gotten any early feedback from the regulators, et cetera, on the application? And have they left you with anything incremental to think about there? Thank you very much.
Amrita Ahuja: Thanks, James, for the warm welcome. I’ll start off on your question on capital originations. Our core platform product continued to perform really well. We had 72,000 loans in the quarter, totaling $472 million, which was up 55% year-over-year. However, I think, it’s probably best to look at this business on a full-year or a trailing 12-month basis, because you do have some swings quarter-to-quarter. So on a full-year basis, we had $1.6 billion, which was up 36% year-over-year and cumulatively have now facilitated $4 billion in loans across 650,000 loans and 230,000 sellers. We have not changed our criteria with respect to risk, not taking on incremental risk. And with this product, as you know, we have a long track record of sort of financial discipline, prudent risk management, we have short-term loans here, generally less than a year. So that we have the ability to pivot quickly. We have a lot of data around the broader ecosystem around sellers to inform our models in real-time to manage risk. So we believe we have a differentiated product. But again, at the highest level, I’d look at the full year as opposed to any given quarter.
Jack Dorsey: James, unfortunately, I can’t talk about any ILC updates. But I will say, like we’ve enjoyed the process and the conversations and we look forward to more direct relationship with regulators.
James Faucette: Thanks very much.
Jack Dorsey: Thank you.
Amrita Ahuja: Thank you.
Operator: I’d like to turn the call back to the company for closing remarks.
Jason Lee: Thank you, everyone, for joining our call. I would like to remind everyone that we’ll be hosting our first quarter 2019 earnings call on May 1. Thanks, again, for participating today.
Operator: Ladies and gentlemen, thank you for participating in today’s program. This does conclude the program. You may all disconnect.